Operator: Good day, and thank you for standing by. Welcome to the Global Mofy AI Limited Fiscal Year 2025 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Celine Meng. Please go ahead.
Celine Meng: Thank you, operator. Welcome, everyone, to Global Mofy's Fiscal 2025 Financial Results Conference Call. Covering the period between September 30, 2024 and September 30, 2025. Thank you all for joining us on such short notice. My name is Celine, and I am the company's Securities Affairs representative. Today, I'll be presenting our prepared comments and then followed by a Q&A session with our CTO, Ms. Wenjun Jiang; and CFO, Mr. Chen Chen. Fiscal year 2025 marks a pivotal year of strategic transformation for Global Mofy. Beyond strong financial performance, this year represents our transition from AI-driven tools to AI native production workflows, laying the foundation for scalable, defensible and margin accretive growth. During today's call, we will review our financial results, strategic milestones, core technologies and growth outlook. Before we begin, I would like to remind everyone that today's discussion contains forward-looking statements, which involve risks and uncertainties that may cause actual results to differ materially from those indicated. These forward-looking statements are subject to risks described in our filings with the U.S. Securities and Exchange Commission. We encourage you to review our Form 20-F and other SEC filings for additional information. Today's conference call is being recorded, and a replay will be made available on the company's website. Fiscal year 2025 delivered record financial performance while also marking a strategic inflection point for Global Mofy. Highlights include total revenue of $55.9 million, representing 35.3% year-over-year growth, a gross profit of $22.5 million [Technical Difficulty] entered into a digital cultural tourism cooperation framework with Lianyungang’s Haizhou High-Tech District. We completed a total of $10.3 million in strategic private placement financings, established Gauss AI Lab and end-to-end AI-powered content framework, expanded our global AI data and training capabilities through Eaglepoint AI Inc. These milestones reflect not incremental optimization but fundamental transformation and how digital content is produced. For those who are new to Global Mofy, let me briefly introduce the company. Global Mofy is an AI-driven technology solutions provider focused on virtual content production and 3D digital asset development for partners across the digital content and value chain. Advanced AI and 3D reconstruction technologies, we create high-precision digital representations of characters, scenes and props, enabling deployments across film, television, gaming, XR and emerging AI native workflows. We operate across Beijing and Zhejiang China. And since our NASDAQ listing in October 10, 2023, under the ticker GMM.US. We've continued to scale both our technology platform and asset base. According to the Frost & Sullivan report, Global Mofy is now recognized as one of China's leading digital asset banks with more than 150,000 high-precision 3D digital assets. This slide highlights Global Mofy's evolution from a traditional digital content provider into an AI native production platform. Key milestones include early leadership in virtual production and software IP accumulation, strategic partnerships with Alibaba DAMO Academy and leading industry players, NASDAQ listing in 2023 and establishment of our Zhejiang headquarters, launch of [indiscernible] flagship AIGC platform built on NVIDIA Omniverse, expansion into global AI training and data engineering through Eaglepoint AI. Our road map reflects a deliberate multiyear transition towards AI-native infrastructure rather than short-term experimentation. [Technical Difficulty] leadership in technology and innovation. Highlights include National High-tech Enterprise designation, multiple most valuable investment Chinese Concept stop and Innovation Awards, membership and leadership roles in MIIT, Metaverse and digital economy organizations, recognization as a specialized and new SME in Beijing. These honors reinforce our credibility with enterprise customers, government partners and institutional investors. Innovation remains at the core of Global Mofy's long-term strategy. In FY 2025, R&D spending reached $7.5 million, representing 14.1% of revenue. Our R&D to revenue ratio significantly exceeds industry average of 5% to 8%. We hold 45 independent intellectual properties with over 10 new IPs added annually. Beginning in fiscal year 2025, we intensified development of generative AI production tools, AI native workflows, AI agent-driven data governance frameworks. We believe that our scale advantage in 3D digital assets, combined with deep production expertise, positions us uniquely for the next generation of AI-driven content creation. Now let's turn to our mission, vision and values, which define who we are as a company and guide us in everything we do. Starting with our mission, we aim to empower creativity through the innovative use of AI and digital technology. This mission drives our efforts to push boundaries and redefine what's possible in the digital content industry. Our vision is clear: to drive technological advancements while cultivating a culturally rich corporate environment. Our values, first, foster innovation, encouraging both ideas and groundbreaking solutions. Second, we prioritize and exceed customer expectations, delivering value that goes beyond the ordinary. Ultimately, our ambition is to build the world's leading digital asset bank, serving as a foundational infrastructure for AI native content industries. The Gausspeed platform is a flagship AIGC platform designed for industrial-grade cinematic production. Built on NVIDIA Omniverse, Gausspeed enables professional-grade visual generation. Gausspeed creates stunning realistic visuals with advanced AI technology, ensuring top quality results for virtual projects. Storyboard and shot design. It provides intuitive tools for detailed storyboard and shot design, allowing creators to visualize and plan each theme precisely, reducing the need for costly revision. A precise preproduction planning. Gausspeed offers advanced [indiscernible] capabilities for accurate preproduction planning, helping clients define service needs and minimizing trial costs. Editable assets, the video scenes and 3D digital assets generated by Gausspeed can be reedited to meet more customized demands, providing flexibility and adaptability for various project needs. We are confident in Gausspeed's ability to transform the filmmaking industry by providing a powerful AI-driven tool that enhances creativity and efficiency. Our 150,000-plus high-precision 4K 3D digital assets form the backbone of our AI capabilities. These assets span characters, scenes and props, natural environments, science depiction, historical errors and architecture. This asset bank enables faster production cycles, higher visual fidelity, scalable AI training and inference. It is a foundational competitive moat for Global Mofy. Mofy Lab integrates over 40 proprietary software systems into a one-stop content generation platform. Key capabilities include high-precision 3D reconstruction technology, digital content editing middleware, low-code and no-code production tools after reuse invocation and workflow optimization. Global Mofy allows us to deliver systematic, repeatable and scalable production outcomes. This slide summarizes several defining moments of Global Mofy in the past few years. NASDAQ listing and increased global visibility, launch of our Zhenjiang headquarters, entry into the AIGC field through strategic partnerships, completion of a major strategic transformation. Each milestone reflects progress towards an AI native operating model. Our management team brings deep expertise across technology, finance and operations, led by our CEO, Mr. Haogang Yang; and supported by CFO, Mr. Chen Chen; CTO, Ms. WenJun Jiang; and CMO, Mr. Nan Zhang, the team continues to execute our strategy with discipline and a long-term focus. Financial data-wise, now let me talk -- walk you through our financial performance for the fiscal year ended September 30, 2025, and provide some additional context around the key drivers behind these results. As of September 30, 2025, the company's total assets increased to $78 million compared to $59.2 million as of September 30, 2024, representing a 31.9% year-over-year increase. This growth was primarily driven by our continued investment in intangible assets, particularly those related to 3D digital assets and AI-related technologies. These investments reflect our deliberate strategy to strengthen Global Mofy's long-term technology foundation, expand our digital asset bank and support the transition towards AI native production workflows. Revenue for fiscal year 2025 increased to $55.9 million, representing a 35.3% increase from $41.4 million in fiscal year-end 2024. This growth was driven by sustained demand for virtual content production and 3D digital assets licensing business across multiple end markets, including film, television, advertising, game and digital tourism and et cetera. Demand remained resilient throughout the year, reflecting both the recovery of content production activity and increasing adoption of digital and AI-enabled production solutions. In addition, during fiscal year 2025, the company proactively responded to the active expansion of the short-form drama market by adopting an innovative cooperation model to participate in short-form drama investments and production projects. While still at a very early stage, we believe the continued expansion of this business line will further diversify our revenue streams and provide incremental revenue support over time, complementing our core virtual technology services. Gross profit and gross margin. Gross profit for fiscal year 2025 was at $22.5 million compared to $20.8 million in fiscal year 2024. Gross margin was 40.2% for the year. The year-over-year margin profile reflects a period of intentional investment as we continue to scale our AI native production infrastructure, expanded R&D initiatives and deployed AI agent-based workflows designed to support long-term automation and efficiency. While these investments weighed modestly on near-term margins, we believe they are critical to unlocking structural margin expansion in future periods, particularly as AI workflow mature and production efficiency continues to improve. Research and development expenses for the fiscal year of 2025 totaled to around $7.9 million compared to $7.4 million in fiscal year 2024, representing a 6.7% year-over-year increase. These investments were primarily focused on expanding and enhancing our 3D digital asset library to support growing AI-driven demand, advancing the development of AI-based generative tools and initiating AI-native production workflow research through the launch of Gauss AI Lab. We believe that these R&D efforts are essential to support long-term efficiency, scalability and intelligence production capabilities and position Global Mofy for sustained growth as AI native adoption accelerates across the digital content industry. Global Mofy is transitioning from using AI tools to embedding AI natively across production, data and workflows. Our growth strategy focused on international market expansion, especially in June 2025, Global Mofy made a strategic investment in Wetruck AI, a digital freight platform headquartered in Ethiopia, marking the company's first direct market entry into Africa and represents an important step in expanding the application of our AI capabilities beyond digital content into real-world infrastructure and logistics scenarios in emerging markets. Building on this foundation, in January 2026, the company recently established Eaglepoint AI, Inc., a Delaware-based AI infrastructure company, majority owned through our wholly owned U.S. subsidiary, GMM Discovery, LLC. Eaglepoint AI focused on AI data engineering, data governance and AI model training support, serving as a critical component of our global AI infrastructure plan out. Additional growth strategies also include strategic alliance and selective acquisitions, brand positioning as an AI-native content infrastructure provider, continued R&D investment in AIGC and asset expansion, enhanced customer experience through intelligent workflows, these strategies together underpin our long-term margin expansion and scalability. Thank you for your attention. And before we open the floor for questions, please note that the management team will be answering in Chinese for any discrepancies between the translated responses and the original answers. The original answers should be considered accurate. Please feel free to ask any questions you may have about our financial performance, strategic initiatives, our market outlook. Operator, please open the line now for questions.
Operator: [Operator Instructions] We going to proceed with our first question. Question come from the line of [ Dona Young ] from Red Dragon.
Unknown Analyst: Okay. Here's my first question. Could you explain how the company maintains a stable and strong revenue growth trajectory?
Chen Chen: [Foreign Language]
Unknown Executive: [Interpreted] Okay. So I will now translate the question for our CFO, Mr. Chen Chen, for answer. I will now translate the answers from Mr. Chen Chen. In fiscal year 2025, the company achieved a revenue of USD 55.94 million, representing a 35.3% year-over-year increase and marking a record high in our history. Mr. Chen Chen emphasized that this growth was primarily driven by 3 factors: First, continued demand growth for 3D digital assets and models across multiple application areas, including film, vision, advertising and virtual cultural tourism. Second, the overall expansion of the film, TV and short drama market, which increased demand for high-quality virtual content production services. Third, in response to the rapid growing short drama market, the company adopted innovative cooperation models to enter short drama investment and production, further diversifying our revenue sources. Mr. Chen Chen emphasized that we believe the continued development of the short drama business will provide additional revenue support and diversification going forward.
Unknown Analyst: I have the second question -- can you provide an outlook of future performance?
Chen Chen: [Foreign Language] Thank you for your question. And I will now translate the question for Mr. Chen answer.
Unknown Executive: [Interpreted] Thank you, Mr. Chen Chen, and I will now translate Mr. Chen Chen's answer for your question. Mr. Chen Chen answered that building on the stable growth of our existing core business lines, the company expanded into short drama production in fiscal year 2025 as part of our virtual technology services and continue to advance our strategic planning in the AI agent space, which together strengthen our growth foundation. Looking ahead to fiscal year 2026, we expect to maintain strong growth momentum and further expand our market presence across key application areas through ongoing technological innovation, supporting sustainable and steady revenue growth over the long term.
Operator: [Operator Instructions] [Technical Difficulty] I am showing no further questions. So I'll now turn back to Celine Meng for closing remarks.
Unknown Analyst: Operator, can you repeat one more time the directions to join the call.
Operator: [Operator Instructions] The next questions come from the line of Jason Liu from [indiscernible].
Unknown Analyst: Can you hear me?
Operator: Yes, we can hear you.
Unknown Analyst: I've got two questions. And the first one is over the next 3 to 5 years, will the company prioritize technical or ecosystem expansion? And how will resource be allocated?
Wenjun Jiang: [Foreign Language] And then I will now translate the question for our CTO, Ms. Wenjun Jiang, for answers.
Unknown Executive: [Interpreted] Thank you, Ms. Wenjun Jiang and I will now translate the answers from Ms. Wenjun Jiang. As CTO, Ms. Wenjun Jiang have just answered that we believe the technological depth and ecosystem expansion are complementary other than conflicting. Deepening our technology enables us to respond effectively to evolution market dynamics. While ecosystem expansion allows us to leverage existing technological strengths to attract more digital content, cultural tourism and entertainment projects, our resource allocation philosophy can be summarized as technology first and service-driven. Technology priority includes continued investment in AIGC and 3D reconstruction technologies, both of which form our core competitive advantages, serve expansion, including leveraging these technologies to broaden application scenarios and deliver more comprehensive solutions to clients. The company, Global Mofy will remain technology-driven while steadily expanding its ecosystem to achieve balanced growth and innovation. Thank you. We hope we have answered your question well. And if you have further questions, you may ask now.
Unknown Analyst: Yes. I got one more question. The second one is, is short drama investment a long-term strategy or short-term monetization approach.
Wenjun Jiang: [Foreign Language]
Unknown Executive: [Interpreted] And I will now translate the question for our CTO, Ms. Wenjun Jiang for answers. Thank you, Ms. Wenjun Jiang, and I will now translate your answers in English. First of all, short drama investment is not merely a short-term monetization tool, but rather than an integral part of the company's long-term strategic planning. Driven by technology ecosystem expansion, as mentioned before, and user experience optimization, short dramas enhance brand visibility while serving as a strategic entry point for a broader market and technology application. We build the segment as a platform for aligning technical capabilities with sustainable commercial value. Thank you. We hope that we have answered your questions. And if you have any more questions, you may raise them now. If not, you may hang up.
Operator: I am showing no further questions at this time. So I'll turn the call back to management for closing remarks.
Celine Meng: Thank you. Thank you all for your insightful questions and for joining us today. On behalf of the entire Global Mofy team, we thank you for your continued support and interest in our journey. We look forward to reconnecting with you again soon. If you have any further questions, please do not hesitate to reach out to our Investor Relations team through e-mail. Have a great day.
Operator: This does conclude the program. You may now disconnect. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]